Operator: Good afternoon. My name is Chris and I will be your conference operator today. At this time I would like to welcome everyone to the Fourth Quarter Earnings Teleconference. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. At this time I would like to turn the call over to Mr. Terry Delaney, Vice President of Investor Relations and Planning. Please go ahead sir.
Terry P. Delaney - Vice President, Investor Relations and Planning: All right, thank you, Chris. Welcome to Sunoco's quarterly conference call, where we will be discussing the company's fourth quarter earnings that we reported last evening. With me today are Tom Hofmann, our Senior Vice President and Chief Financial Officer; and Tom Harr, our Manager of Investor Relations. As part of today's call I would direct to our website at www.sunocoinc.com, where we have posted a number of presentations slides. I will as usual will be making reference to a number of them today to help highlight and supplement some of our commentary and statistics. So if you haven't already done so, I would suggest that you go there now and be ready to refer to them as I progress through my remarks. Historic for purposes of facilitating a good discussion I would refer you to the Safe Harbor statement referenced in slide 24 and as included in last night's earnings release. In the course of our remarks and in the subsequent Q&A we may be making some forward-looking statements. While we feel that the assumptions underlying these statements are reasonable, our company and our businesses are subject to a variety of risks and uncertainties which are highlighted there in slide 24. I will also note again that in our remarks, in our financial and operating statistics, we do refer to various external market indicators for our businesses. Let me remind you that these indictors experience significant volatility and are not to be taken as future projection on our behalf. While they can be helpful in considering market changes, the correlation of our actual results with these external benchmarks can and does vary from quarter-to-quarter due to a variety of factors. So, with that, before we discuss the fourth quarter results, let me make just a few summary comments on the full year 2007. By most measures 2007 was another good year for the refining sector and for Sunoco as shown in slide 3. Net income before special items was $833 million or $6.94 a share and reflected good results from refining and supply, which earned $772 million for the year. While volatile, margins on average were strong, especially during the summer drive-in season and in the MidContinent region. Net income from our non-refining businesses was $169 million for the year, down from 2006 mainly due to the effect of rising commodity prices throughout most of the year on our retail marketing and chemical margins as well as the phase out of certain alternative fuels tax credits in our coke business. The year also saw the completion of two major multiyear capital projects in our refining system. The cat cracker expansion and modification project at our Philadelphia refinery has given us additional conversion capacity and significantly improved our ability to upgrade lower value residual fuel to gasoline and distillate while adding some crude slate flexibility. The Toledo crude unit debottleneck project for relatively modest capital spending expanded the refinery's crude unit capacity by approximately 10,000 barrels a day, with most of the incremental production in higher value distillate. These two projects which were completed in April and July of last year respectively should benefit us more significantly in 2008. We also continue to grow our coke business. During 2007 we commenced operations at the new Victoria, Brazil facility, a plant in which we are the operators and have a $41 million equity investment. This plant was the largest construction project undertaken by SunCoke Energy and our first outside of the United States making it a prototype for what we hope will be additional domestic and international opportunities. We also announced an agreement to build a second coke plant at our Haverhill, Ohio location. That plant and an associated co-generation power plant are currently under construction and are expected to be operational in the second half of 2008. We continued returning cash to our shareholders by repurchasing 4 million shares and reducing our net shares outstanding by 3% during the year. We also increased our dividend by 10% in the second quarter of 2007, I'll note that this morning our Board of Directors approved an additional increase of $0.10 a share annually or about 9.0% overall payable in the second quarter of this year. Now, let's turn to the fourth quarter results. As shown in slide 4, we reported fourth quarter net income before special items of $23 million or $0.20 a share. These results exclude three special items. First, an $8 million after-tax provisions to write-off a previously idled phenol line at our Haverhill, Ohio chemical plant. Secondly, a $7 million after-tax loss related to the sale of our Neville Island, Pennsylvania chemicals terminal facility, and lastly a $17 million after-tax accrual related to the tentative settlement of certain MTBE litigation. I'll discuss the refining and supply results shortly, but first, let me make a few comments about our nine... non-refining businesses which were negatively impacted by the crude price run-up and earned in the aggregate only $9 million during the quarter. And I'll ask you to turn to slide 5 and 6 where I'll comment on each of these businesses individually. In retail marketing we earned a million dollars in the fourth quarter, improved from the loss of 11 million in the fourth quarter of '06 but well below the 31 million earned in the third quarter of 07. Retail gasoline margins averaged about $0.077 per gallon across our retail system for the quarter. As shown in slide 5 wholesale gasoline prices and they are illustrated there by the New York Harbor spot unleaded regular price, started the quarter around $2 a gallon and ended at around $2.50 a gallon. And except for a brief period in late November and early December, wholesale prices were persistently rising faster than the retail prices and retail margins were squeezed for much of the quarter. In chemicals, we lost $2 million for the quarter as crude prices increased during the quarter, so did the price of Propylene which is the primary feedstock for our polypropylene business and which along with benzene, is also a key feedstock for our phenol business. Again, as illustrated in slide 5, posted prices for refinery grade Propylene were up $0.035 per pound in October and another $0.064 per pound in November. With most major customers in the industry seeking to limit levels of high cost inventory at yearend, demand was softer than in recent quarters and price increases were not fully passed through. For the year Sunoco chemicals earned $26 million. Turning to slide 6. Logistics earned $12 million in the quarter. The earnings release for Sunoco Logistics Partners LP provides a more detailed discussion of its quarterly performance but in general the solid earnings were largely due to strong demand for pipelines and terminaling and strong operations from the partnerships assets including those acquired in recent years and increased earnings from its least crude acquisition business. For the full year 2007, logistics earned $45 million up $9 million from 2006 and the highest level since the formation Sunoco Logistics Partners in 2002. Coke, which lost $2 million in the fourth quarter was impacted by $14 million unfavorable partial phase-out of alternative fuel tax credits due to higher crude oil prices. As a reminder, through the end of 2007, our Coke business benefited from certain section 29 non-conventional fuel tax credits, which were subject to phase-out on a ratable basis, when the annual crude oil price on the WTI basis averaged over approximately $62 a barrel, with full phase-out at an estimated annual average of about $76 barrels WTI. The total potential benefited in 2007 from these tax credits was approximately $30 million after tax of which we recognize only $10 million for the year 2007, therefore for net phase-out if you will of $20 million last year. These tax credits expired at the end of 2007. So our Coke earnings are now expected to become more ratable in 2008. We will have a full year contribution from the Victoria, Brazil facility and income from the second Haverhill plant currently under construction which is targeted for the second half of '08 start-up. The addition of these facilities combined with a contract pricing change for Coke at our Jewell plant more than offset the expiration of the section 29 credits, and are expected to increase coke's annual after tax income to approximately $80 million to $85 million in 2008 versus the $29 million we earned in '07. Finishing at the non-refining discussion, corporate expenses were $23 million after-tax and net financing expenses were $6 million after-tax in the fourth quarter. The higher than normal level of corporate expenses largely reflects the recognition of share-based incentive compensation granted to retirement eligible employees, which were higher than normal due to accelerated recognition of expense under FAS 123R for grants made in the fourth quarter. Financing expenses were lower than prior quarters due largely to higher interest income and lower expenses attributable to preferential return to third party investors in coke. Now, let's turn to refining and supply, which as I mentioned earned $43 million in the fourth quarter of '07. Slide 7 summarizes some of the key points pertaining to the quarter. However, results were most impacted of course by lower realized margin in both the Northeast and MidContinent due to the higher and rising prices paid for crude oil during the quarter. Operationally, performance was excellent during the quarter. Across the entire system we produced for sale a record average rate of 962,000 barrels a day. Our crude units ran at 97% of rated capacity and 99% in the Northeast Refining System. We produced record levels of distillate, particularly on-road diesel, and gasoline production was essentially even with the record level set in the fourth quarter of 2005. In the Northeast Refining System, our yield of light products was aided by the capital project work completed earlier in '07 at the Philadelphia cat cracker. During the quarter when margins for heating oil and diesel remained relatively healthy and residual fuel continued to be steeply discounted, we produced a record high yield of distillate and a record low yield of residual fuel. In the MidContinent system, for the quarter our Tulsa refinery produced at its highest level of '07, and the Toledo refinery matched a strong overall production levels of the third quarter. At Toledo, we continue to see the benefit of the debottleneck project completed earlier in the year with record levels of jet fuel production achieved during the quarter. Along with the higher volumes, we also had higher operating expenses. Versus the third quarter total expenses were up about $0.35 a barrel across this system. A significant part of the increase, let's say about $0.20 a barrel, was related to increased cost for purchase natural gas and steam to fuel the refineries due to those higher average fuel prices and volumes. The remainder of the increase relates primarily to higher cost for catalyst process, chemicals and maintenance activities. Turning to margins now. Clearly we saw a decline in the fourth quarter versus the third quarter, with a particular fall off in the MidContinent from the very high levels experienced earlier this year. In slide 8 to 11, we again lay out the comparisons of our realized refining margins versus our regional benchmarks. Let me make some brief comments about some of the influencing factors in each region. In the Northeast, realized refining margins averaged $5.55 a barrel versus the benchmark 6-3-2-1 value added. Our realization improved on the product revenue side with more favorable product mix, for instance more distillate, less resid, and better realized sales timing versus the ratable marker. On the crude side in the Northeast, our realized crude costs were $2.40 a barrel higher than the Dated Brent plus $1.25 a barrel marker. Premiums for West African crudes remained relatively high and transportation cost rose during the quarter. The negative timing impact of rising crude prices on crude acquisition cost was partially offset by the drawdown of lower price crude inventories which we purchased earlier in 2007. In the MidContinent system, realized margins were $7.10 a barrel. While higher than in the Northeast, the decline from the third quarter was more pronounced as industry capacity in the region came back on line just as the market was softening. Our capture rate versus the benchmark improved as margins fell, which is typical due simply to the differences in the product mix assumptions for gasoline and the 3-2-1 marker we used, which is two-thirds of the barrel gets a gasoline prices versus our actual yield for the system which is closer to about 50%. We were also helped on the crude side by improvement in the Canadian syncrude pricing relative to WTI, when the approximately 70,000 barrels a day of syncrude we ran in Toledo, and as in the Northeast, the draw down of some crude inventories purchased earlier in 2007. So, let's go to 2008, and I'd say, so far in the first quarter, refining margins have continued to be relatively weak. We like others in the industry will be performing some maintenance activity ahead of the summer driving season. In the Northeast system we will be performing work in February and March with the resulting production loss estimated at approximately 4.5 million barrels for the quarter. We will also be performing work at the Toledo refinery that will reduce production in our MidContinent system by approximately 2.5 million barrels. Looking out a little further, our outlook for refining remains constructive for 2008, especially as we approach the rollover to summer-grade gasoline. Despite some apparent slowing in demand growth, industry inventories are not out of the normal range for this time of year, and industry maintenance activity is likely to be impactful. With that said, I'll ask the moderator to open the lines up for questions... any questions you may have. Question And Answer
Operator: Absolutely sir. [Operator Instructions].
Terry P. Delaney - Vice President, Investor Relations and Planning: Chris, this is Terry Delaney. We are having a hard time hearing you. Hopefully the questions will come through a little more clearly, but let's see.
Operator: Okay, sir, I do apologize. But I don't know why the volume is so low, but we do have a question in the queue at this time. Your first question comes from the line of Neil McMahon with Sanford Bernstein.
Neil McMahon - Sanford Bernstein: Hi. Hopefully you can hear me all the way from London.
Terry P. Delaney - Vice President, Investor Relations and Planning: You are coming in pretty good Neil.
Neil McMahon - Sanford Bernstein: Great. First of all, just looking at the chemicals business, obviously, a few historical things happening there, the charges in the quarter, maybe just an update on how the chemical business is setting in the portfolio today and even with those charges in the fourth quarter has it made yourselves think about the position in the portfolio going forward. And then maybe some... any further thoughts on Tulsa and if that's remaining in the portfolio?
Terry P. Delaney - Vice President, Investor Relations and Planning: Neil, as far as chemicals, the charges that we took are really... the one line had been down for a while, we thought we were going to be able to restart and we couldn't. So that's been there and then as far as Neville Island that also had been something we're going to get out of. So neither one of those two and they are relatively minor events... neither one of those two had a big impact on our thoughts of the future. We continue to believe that a joint venture of those assets makes the most sense for us. We continue to pursue that opportunity. So as I said nothing happened in the fourth quarter has dissuaded from moving down that strategic path. And as far as Tulsa that process is underway. As I am sure you are aware there are also confidentiality arrangements associated with that. So I can't really say much more than that expect that the process is underway.
Neil McMahon - Sanford Bernstein: Maybe just one or two more question. And there has obviously been quite a lot of disruptions in Nigeria through the start of the year. I was wondering if that was influencing you guys at all or impacting your crude across the Atlantic?
Terry P. Delaney - Vice President, Investor Relations and Planning: Not directly Neil. Again as you want to think... I am sure you know there's delivery points out in Nigeria really numerous, 18 or 20 different ones and oftentimes forced major is [ph] declared and it's only partial production at one location that may not happen. So we've not had any interruptions to our availability of crude to us. Whether or not it has some marginal impact on the overall price of crude coming from there that's another question. But as far as surety of supply, we've had no issues.
Neil McMahon - Sanford Bernstein: Great, thanks a lot.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay.
Operator: Your next question comes from the line Paul Sankey with Deutsche Bank.
Paul Sankey - Deutsche Bank: Just further on that subject of the premium of Brent, I guess freight rates are also looking a lot less aggressive this quarter so far?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, early in January, Paul, the freight rates were pretty steep but they have come off quite a bit in recent weeks, that's correct.
Paul Sankey - Deutsche Bank: Yes, that was just kind of a follow on if you like. What's the outlook there by the way for freight... I mean I guess it's hard to second guess what happened in Nigeria but what's your best guess on how freight rate will perform for the rest of the year?
Terry P. Delaney - Vice President, Investor Relations and Planning: I think the overall outlook is obviously there is seasonal impact to it that we experienced in the winter months that should come off a little bit. There are some additional tonnage coming on. So I think we feel it'll little weaken a bit but it may not be mush cheaper than 2007 on average.
Paul Sankey - Deutsche Bank: Great. On the coke business you mentioned $80 million to $85 million was your kind of ratable expectation for 08. What would be the exit rate for the year do you think if we could get an idea of the progression of earnings growth throughout the year, that would be great? Thanks.
Terry P. Delaney - Vice President, Investor Relations and Planning: For coke, we should exit the year out and earning approximately $95 million on an annual basis, Paul. Hopefully, we will be able to add to that during the year but based upon what we have underway now, we would leave with $95 million.
Paul Sankey - Deutsche Bank: That's great. Thanks. And one last one from me. Could you just -- you've talked a lot about the way that you've optimized or improved your product yields. How will that change through the course of '08? Is there more that we need to think about in terms of how you'll... your yields will shift or have we hit a ratable position as we are now? Thanks.
Terry P. Delaney - Vice President, Investor Relations and Planning: I think the fourth quarter, Paul, is a pretty good representation of what we can do. We operated at pretty high levels. We had good performance from the two capital projects from earlier in the year, and I think that's a pretty good indication of that. Again we hope sometime in 2008 to get back in Toledo and perhaps debottleneck another 5,000 to 10,000 barrels a day there. But I would say at this point, use the fourth quarter as a good barometer.
Paul Sankey - Deutsche Bank: Great, Terry, thanks. I will let someone else have a go now. Thank you.
Operator: Your next question comes from the line of Doug Terreson with Morgan Stanley.
Douglas Terreson - Morgan Stanley: Hi, Terry and Tom.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hi, Doug.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: Hi Doug.
Douglas Terreson - Morgan Stanley: I have a question about the balance sheet, the balance sheet suggests that inventories have failed in the fourth quarter although they are pretty similar on a year-over-year basis? And on this point while you didn't quantify the inventory gain for the quarter, although Terry alluded to the regional effect, I want to see whether or not you could provide the net effect from inventory gains for full year 2007, that is, was there a gain, was there a loss. And if you can quantify the magnitude that would be great?
Terry P. Delaney - Vice President, Investor Relations and Planning: Let me try to do that for you, Doug.
Douglas Terreson - Morgan Stanley: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: On the refined product side, in the fourth quarter, we drew about 600,000 barrels...
Douglas Terreson - Morgan Stanley: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: ...of product and overall for the year, we were a little bit... we were at 1 million barrels lower than we came into the year. Net effect and most of this effect was in the fourth quarter, I believe. We benefited approximately $24 million pre-tax...
Douglas Terreson - Morgan Stanley: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: ...for the drawdown of that inventory. Okay.
Douglas Terreson - Morgan Stanley: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: On the crude side, year-on-year, we ended up at the same barrel balance that we began. But in the fourth quarter we did drawdown a little bit over 3 million barrels of crude that we had built during the year. So, that was beneficial to us during the quarter probably to the tune of about $20 a barrel versus going out in the fourth quarter and having to buy that crude.
Douglas Terreson - Morgan Stanley: Right.
Terry P. Delaney - Vice President, Investor Relations and Planning: Now, I would also say that offsetting that is not so much a crude inventory element, but I think you have heard me talk about in the past the way in which... particularly the West African crude is priced, there's a 5-day lag to the pricing...
Douglas Terreson - Morgan Stanley: Sure.
Terry P. Delaney - Vice President, Investor Relations and Planning: ...after we have pick up and take title. So, effectively in the fourth quarter or any quarter we are pricing barrels the first 5 days of January let's say in the fourth quarter instead of the first 5 days of October for about 600,000 barrels a day or 3 million barrels. The difference between first 5 days in October and the first 5 days of January was also about $20 a barrel.
Douglas Terreson - Morgan Stanley: Right.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay. So when you compare that versus a bench... a calendar day benchmark, what we earned... what we made by virtually buying crude oil earlier in the year and drawing it down during the quarter, we gave back this convention of how we take title and do pricing. Does that make sense to you?
Douglas Terreson - Morgan Stanley: Yes, no I will follow-up Terry. I just wanted to get some clarification on that. Okay, well thanks a lot.
Terry P. Delaney - Vice President, Investor Relations and Planning: Sure.
Operator: Your next question comes from Nikki Decker with Bear Stearns.
Nicole Decker - Bear Stearns: Hi Terry, hi Tom.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hi Nikki.
Nicole Decker - Bear Stearns: So, on the refining, Terry you talked about improved capture rates relative to the third quarter, primarily on improved crude pricing. Are you still well below where you were a year ago, and maybe you could comment on that. Is... was a year ago exceptional?
Terry P. Delaney - Vice President, Investor Relations and Planning: In the Northeast system particularly, I guess?
Nicole Decker - Bear Stearns: Well in both, your capture rates were much higher in the fourth quarter of last year.
Terry P. Delaney - Vice President, Investor Relations and Planning: Let's look at them individually. I mean in the Northeast system it's really a crude story. And there's two... there's a few things going on there. Certainly the grade differentials that we are paying in 2007's fourth quarter were much greater than the fourth quarter of '06. And secondly, this timing impact is significant. If you recall at the end of '06 crude prices were heading down. So, again versus the benchmark in '06 we benefited from the fact that we were buying some barrels in the January of '07 and not in October of '07. Perhaps in the fourth quarter of this year it was totally the opposite. There really wasn't that much difference on the product side, it was a really a story around, if you will, crude timing and grade differentials. Transportation; fourth quarter of '06 to fourth quarter of '07 was not significantly different. Okay?
Nicole Decker - Bear Stearns: Okay, just on that point. So, what do you think is a normal capture rate for Sunoco right now given sort of the changes... the reconfiguration of your refinery? What should we model in as a capture rate?
Terry P. Delaney - Vice President, Investor Relations and Planning: Nikki, I think we have to talk about that quarter-to-quarter. You can just look at our historical results and see what the volatility is, it's significant. There's a separate story for crude than there is for product. I would tell you for first quarter in the Northeast that in general we'll be paying more than our benchmark crude by $2 or something between probably $2 and what we did in the fourth quarter. It's probably not a bad place to be. On the product side, we could be a little better... petrochemical margins for refiners are a little bit better, but there's is a lot of... particularly when we have as much maintenance as we are going to have this quarter as well, it's hard to predict because again inventory activities for us can be impactful. But in general, I'd say in the Northeast, we are not going to be delivering crude at Dated Brent plus a buck in the quarter.
Nicole Decker - Bear Stearns: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: Given where current differentials are, I would say, to start with, we expect an additional $2 on top of that's probably a good point for where we are today.
Nicole Decker - Bear Stearns: Okay. That's real helpful, Terry. I wonder if you could do the same thing on the MidContinent systems.
Terry P. Delaney - Vice President, Investor Relations and Planning: In the MidContinent on the crude side, the big items... we don't have the same transportation volatility or the same timing of purchases volatility, but we do have market structure differences, a backwardation versus contango because again, our benchmark is a WTI prompt kind of price. So, if we are in backwardation, we are paying more than that, if we are in contango, we are paying less than that. That will flow through there. The other big wild card in our crude costs is that we do 70,000 barrels or so a day of Canadian syncrude. There are times when the supply is great, and we are getting a discount for that, and there are times when there's a couple upgraders down and we are paying a big premium. That will swing that crude price significantly. On the product side Nikki, as we've talked about, it's just that the Tulsa and Toledo systems are so different, it's not a great benchmark. And I think you just need to stay in touch with Tom and do the individual modeling the best you can quarter-to-quarter.
Nicole Decker - Bear Stearns: Okay. Thank you, Terry.
Terry P. Delaney - Vice President, Investor Relations and Planning: All right.
Operator: Your next question comes from the line of Arjun Murti with Goldman Sachs.
Arjun Murti - Goldman Sachs: Thank you. Just a question on some of the portfolio actions that you allude to in your press release. One follow-up on Tulsa, are you all finding then that with all the financial market and credit market turmoil and given that some of the most likely buyers here would be some of the smaller refining companies. Any questions in terms of ability to finance or get what you guys might ultimately deem to be an adequate price?
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: Yes, Arjun, Tom again. We really don't want to get into the details of that and speculate as to who's in and who's not. So I would rather hold off and then I would say, certainly what we've seen on the investment grade side that the markets are open and as far as the others, it's going to depend on whether they've got some other support and at the time we have a go ahead with this, what the markets are looking like them, but I don't want to go much farther than that.
Arjun Murti - Goldman Sachs: That's fine. Any update in terms of coal and coke and what you are thinking there whether it's a MLIP [ph] or some sort of... or any other action?
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: We continue to look at that as we said in December, Arjun. We have not made a decision on that at this point in time. We continue to figure out what's the best way. But as I said back then and in response to some of the questions today, they have $95 million... $100 million of income and $150 million plus of EBITDA as far as Sunoco operations looks pretty good. We will continue to pursue that, but that's certainly something that needs to be looked at deeply and figuring out where the best value for us is.
Arjun Murti - Goldman Sachs: That's terrific. And just one numbers update. When you talk about the 7 million barrel reduction for production, was that relative to the fourth quarter or relative to some normal utilization rate?
Terry P. Delaney - Vice President, Investor Relations and Planning: Relative to the fourth quarter Arjun.
Arjun Murti - Goldman Sachs: Okay.
Terry P. Delaney - Vice President, Investor Relations and Planning: ...which was pretty close to capacity.
Arjun Murti - Goldman Sachs: That is terrific. Thank you.
Operator: Your next question comes from the line of Paul Cheng with Lehman Brothers.
Paul Cheng - Lehman Brothers: Hey guys.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: Hi Paul.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hi Paul.
Paul Cheng - Lehman Brothers: Well maybe I have number of quick questions. First one, Terry you say largely... maybe I missed that. Did you say that the crude defense [ph] so far you are seeing in the first quarter is going to be about $2 better than what you have seen in the fourth quarter?
Terry P. Delaney - Vice President, Investor Relations and Planning: No. I'd say it's going to be close to what it was in the fourth quarter which was $2 to $2.40 or $2.50 over the benchmark.
Paul Cheng - Lehman Brothers: Okay. So that means that sequentially that we are now going to see or at least at this point that is not positive or negative. So if we look at a simple 6-3-2-1 correct spread, that's still a reasonable benchmark?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes.
Paul Cheng - Lehman Brothers: If you are saying that if the benchmark indicator is up say a $1 that... then your realization would be reasonable to assume up $1 or something like that?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, it's easy... it's a little easier on the crude side than it is the product side. But I certainly would say that for the crude side, Paul.
Paul Cheng - Lehman Brothers: Okay, that's fine. Terry on ethanol, the branding profit seems that you are buying ethanol and the economy was pretty good over the last six months. Can you remind me that where you re-caught the profit you said it has now become part of your refining and wholesale margin or is that included in that number or is it included in the retail?
Terry P. Delaney - Vice President, Investor Relations and Planning: Well whatever price we pay for ethanol is the price that our retail business pays our refining business for it. So I would... I guess I would say whatever profit there is, is in the retail business. Now, again, I would also suggest that at the end of the day we don't know necessarily whether we bought ethanol more cheaply than any of our other retail competitors did last year. So, while everybody might be buying it at a favorable obtained [ph] value, how that gets priced through ultimately at the street and how much of that you get to keep is debatable and probably not estimable but...
Paul Cheng - Lehman Brothers: Okay. So in other words then, I mean, if we look at in the fourth quarter and ethanol prices is probably about $0.20 and $0.30 on average lower than the wholesale gasoline prices, we cannot assume automatically that you have a branding profit north of [ph] about $0.80 per gallon?
Terry P. Delaney - Vice President, Investor Relations and Planning: That's correct. I mean I think where we would most suggest we might get to keep some of it, or more of it is wherever we might have a first mover advantage. But most of the market is already converted to it. So it's just another component of how you go to market. I believe on the retail end.
Paul Cheng - Lehman Brothers: And it's just not being... and in a way [ph] that if any profit is showing in the retail not in the refining?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes.
Paul Cheng - Lehman Brothers: Okay, and that with the renewable fuel [ph] spend for 2008, are you guys now more... on metric-wise, but are you in compliance?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes.
Paul Cheng - Lehman Brothers: Okay. And that for the same-store sales you can give us some number for those over 12 months, what is the same-store sales look like on the gasoline and diesel?
Terry P. Delaney - Vice President, Investor Relations and Planning: For gasoline and diesel volumes year-on-year are open both years or were up about 2.5% on gasoline and diesel volumes and up about 2.8% on merchandise store volumes. Fourth quarter was weaker in the OBY, I mean open both years.
Paul Cheng - Lehman Brothers: Okay. And Terry, in the MidContinent system, in Northeast you have the five-day lag and in the MidContinent systems a lot of your competitors is doing what they call the people's one [ph] co-purchase. Wondering, do you guys do any of that?
Terry P. Delaney - Vice President, Investor Relations and Planning: No Paul, what we do... when we buy whether at the Mid-Continent or the foreign barrels, we always let price float what we fix, we might fix structure, we might fix transportation, we fix differentials, things of that nature but we are always letting price float. So we do not have any pay-for-positions relative to our crude purchases in the MidContinent.
Paul Cheng - Lehman Brothers: Okay. Thank you.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay Paul.
Operator: Your next question comes from the line of Doug Leggate with Citi.
Doug Leggate - Citigroup: Hi, good afternoon everybody.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hello Doug.
Doug Leggate - Citigroup: Of CITI here. I guess you kind of answered my first question, I think, I just wanted some clarification if I may. The so called pay-for-positions, does that apply across North to Midwest and the Northeast also?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, as it implies to any crude purchases or product sales like that, yes.
Doug Leggate - Citigroup: Okay great. Inventory management is really where I kind of wanted to get to. You talked a little bit about the sale or the disposal rather in the fourth quarter. But as you run into your maintenance period, one with the margin that you build fair amount of inventory, can you just talk about the dynamics of how that tends to move within your system and should we look for any inventory impacts in the first quarter as a consequence of that?
Terry P. Delaney - Vice President, Investor Relations and Planning: I think by the time the quarter is over we will probably be lower in inventory than we started the quarter in that we will have experienced a downtime and we will be drawn pretty low. But I can't predict right now, Doug, what impact that would have financially. And lot of that will probably most relate to what price we need to reserve for any rebuilding at the end of the quarter. So, where prices are on March 31st, if we are lower in crude or lower in products because of the downtime, we will have to reserve for that at the end of the quarter and how that price compares to the average price during the quarter will be a plus or minus I think to our realization.
Doug Leggate - Citigroup: Yes, it does. Thanks. I guess there maybe a little bit of a stretch to try and get some idea of scale, but when you say drawing pretty low, is that from a kind of a peak position and what kind of magnitude are we talking about in terms of volume?
Terry P. Delaney - Vice President, Investor Relations and Planning: I don't know off hand. We end the year at not a particularly especially high or low balance to be honest with you, Doug. So I don't think it's going to be that significant. With an overall inventory balance of about 20 million barrels of crude and 20 million barrels of refining, it won't be that significant, but it could be a million or two barrels each.
Doug Leggate - Citigroup: Okay. And the other one I had was you talked about your own maintenance outlook and the lower run rates you expect to have. But you also made comments about how you saw the industry. I wonder if you could just give us some idea, when you say it will impactful. Do you, from what you can see right now, expect at least in Northeast area maintenance similar to last year, heavier than last year? Can you maybe just give us some deltas to how you guys see the world at the moment?
Terry P. Delaney - Vice President, Investor Relations and Planning: Doug, I think I'll have to say that we use the same consultants that others have used, and I think generally speaking, the outlook is for a slightly lesser amount of planned maintenance in 2008 than 2007. But perhaps like us, I mean, one of our three... we have three maintenance activities that we are undertaking here in the first quarter. I would say, one of them is kind of opportunistic or economically driven where we have an opportunity to get in and do some work on a unit that's not performing optimally, that is the margins were really strong, we might continue to differ that. If other refiners take that same tack and certainly in some other regions others have already noted that they are, I think that plus whatever plan maintenance there will be, will be impactful. And again I think there is a general feeling that keeping these units all operating at a very high utilization, is a bit more challenging than it was a few years ago.
Doug Leggate - Citigroup: Okay. I'm going to try just one very last one which is unrelated if I may. You've talked often about six potential negotiations on new coal projects, just a quick update as to maybe progress there, and that's it for me. Thanks.
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, Doug. We continue to be optimistic about putting them on, but as we said consistently, until we do, we really don't want to be making any announcements or preannouncements if you will. So, I just say, hang in there with us, just what we said in December, we are positive, we expect to see some but until we are there we are not going to make any announcements.
Operator: Your next question comes from the line of Mark Gilman with Benchmark.
Mark Gilman - The Benchmark Company: Hi guys, good after, it's Mark Gilman.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hi Mark.
Mark Gilman - The Benchmark Company: A couple of things if I could. Terry, your comment about the market structure and the impact on Toledo in terms of backwardation versus cantango effects. Is it the transition from one to the other that triggers that or is it just the absolute condition of the market in the period?
Terry P. Delaney - Vice President, Investor Relations and Planning: The absolute condition, Mark, in that the screen might be saying crudes going for $82 a barrel, but in reality in a backwardated market maybe you are paying $82.60.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: And the cantango...
Terry P. Delaney - Vice President, Investor Relations and Planning: And the market we are picking up in a cantango market is $82, but maybe we are getting it for $81.10.
Mark Gilman - The Benchmark Company: Okay. Any derivative types of effects impacting upon the results in the quarter?
Terry P. Delaney - Vice President, Investor Relations and Planning: No.
Mark Gilman - The Benchmark Company: Okay. Any significant crude slate changes at all?
Terry P. Delaney - Vice President, Investor Relations and Planning: No, not really. Are you referring to any particular region, Mark, or...
Mark Gilman - The Benchmark Company: No, not really in general, guys.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay. I think the biggest unusual items where we benefited from crude inventories that were built earlier in the year that we drew down but they were largely offset by the fact that in a rising market we pay higher than the benchmark as I said for the West African crudes.
Mark Gilman - The Benchmark Company: Okay. Just one or two financial items if I could? There was a huge working capital liquidation in the fourth quarter. Do you expect that to reverse in the first quarter of some portion of 2008?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, a good portion of that should reverse in the first quarter if for no other reason; one of those... one of the elements to that Mark is crude payables. We have about 20 million to 25 million barrels of crude payable at the end of any given period when crude prices go up like they did between the end of the September to December we pick up a big source of funds and when they go down as they have so far this year we'll loose some of that. So we'll give some of that back. Some of that maybe mitigated by the fact that we'll probably end the first quarter with lower crude inventories as we talked about earlier because of the trend around activities. But that... most of that working capital is timing in nature and much of it is related to crude prices on our payables.
Mark Gilman - The Benchmark Company: Okay. And if I could just ask a little bit of perspective on the dividend action and Tom maybe you could talk about parameters that you look at in terms of establishing an appropriate dividend and whether we should interpret that this increase is any attempt to perhaps rebalance between dividends and share buybacks?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, Mark, we think it's important to obviously return cash to the shareholders. And as you know over the years the lion' share of that's been through share repurchase. But we think it makes sense to move the dividend up, when you think about it. $0.10 is roughly $12 million, so it's not a huge impact on us. It gets us pretty close to the SMP 500 average which is 2.17 in that range. So we are not necessarily targeting that but we think that's a reasonable balance and we like the fact that at least in our view it shows continued expectation that we are going to do well here and it's just a nice way of getting the cash back on a ratable basis for the shareholder.
Mark Gilman - The Benchmark Company: So we should not Tom expect any changes in philosophy regarding share buyback?
Terry P. Delaney - Vice President, Investor Relations and Planning: No we are going to be consistent there Mark. I mean the lion's share as I said earlier, if you look over the last umpteen years we've brought way more shares back than we have issued... than we spend in dividends. So that would be our expectation going forward.
Mark Gilman - The Benchmark Company: Okay. And just... excuse me, one final if I could. Terry in terms of the LIFO on crude, can you split it Northeast versus Toledo?
Terry P. Delaney - Vice President, Investor Relations and Planning: Let me... on the crude, Mark, it was not LIFO, technically, and now it was crude that was built up during the year. But in general, I would say that the benefit of that crude inventory drawdown on the fourth quarter was about a buck a barrel for each of the two systems. Now, again I would remind you on the Northeast, I would say that $1 a barrel was offset by what I am calling crude timing, but part of the improvement in the crude cost versus the benchmark in the MidContinent was the drawdown of some crude inventories.
Mark Gilman - The Benchmark Company: Okay, Terry, thanks. Got it.
Terry P. Delaney - Vice President, Investor Relations and Planning: All right.
Operator: Your next question comes from the line of Chi Chow with Tristone Capital.
Chi Chow - Tristone Capital: Hi, good afternoon guys.
Terry P. Delaney - Vice President, Investor Relations and Planning: Hello Chi.
Chi Chow - Tristone Capital: A couple of questions on refining. The expansion project Philly and improved development, I guess, at Toledo, do you have any sort of excretion or contribution that figures from those projects?
Terry P. Delaney - Vice President, Investor Relations and Planning: The contribution for 1232 for the Philly project was a rough estimate of about $12 million to $13 million in the fourth quarter, and for the Toledo project about $5 million after-tax.
Chi Chow - Tristone Capital: That's versus 3Q or how do you look at it?
Terry P. Delaney - Vice President, Investor Relations and Planning: 3Q, I believe, that the Philly project was something closer to $15 million and the Toledo project was 3 or 4.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: Chi, I think that's versus not having done the work.
Chi Chow - Tristone Capital: Yes.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: If that's your question?
Chi Chow - Tristone Capital: All right, yes.
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: [Indiscernible] a little bit.
Chi Chow - Tristone Capital: Yes.
Terry P. Delaney - Vice President, Investor Relations and Planning: We can't hear you as well as we heard Mark.
Chi Chow - Tristone Capital: Okay. And then at Toledo, that filing issue, are you guys going to clear it up in your catalyst change turnaround?
Terry P. Delaney - Vice President, Investor Relations and Planning: It's one of our 2008 objectives. They are still revaluating whether they could or should do that as part of this first quarter work at this point, Chi.
Chi Chow - Tristone Capital: Okay. And what about... you talked about a hydro cracker debottleneck small $1 million project at the analyst meeting. Is that still on schedule? I believe you mentioned that the early '08 that that would be completed?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, it is.
Chi Chow - Tristone Capital: Okay. And one final question. On chemicals, are you seeing any margin improvement given the stabilization of crude price here in the quarter so far?
Terry P. Delaney - Vice President, Investor Relations and Planning: There should be some modest margin improvement in the first quarter, Chi. Propylene prices have come off a bit and for the run-up in the fourth quarter. So, there should be some modest recovery, but they'll still be challenged.
Chi Chow - Tristone Capital: Okay, that's it. Thanks.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay.
Operator: Your next question comes from the line of Bill Costello with The Boston Company.
William Costello - The Boston Company: Thank you, but my question have been answered.
Terry P. Delaney - Vice President, Investor Relations and Planning: Thanks Bill.
Operator: Your next question comes from the line of Paul Sankey with Deutsche Bank.
Paul Sankey - Deutsche Bank: It's me again, thanks guys. Just there's been some -- there might be an alkylate problem this summer. I wondered if you've got a perspective you could give to us in terms of whether the supply is tight, whether it's relevant to you guys and so on? Thanks.
Terry P. Delaney - Vice President, Investor Relations and Planning: I don't have any particular insight, Paul, as to whether or not they will be any tighter this year. And talking to our guys, I think in general, they are looking at similar issues that were available last year, or maybe not, they will be a little bit different. From our perspective, in the Northeast system we are a little bit long on alkylate and we are doing what we can to store ahead of the season, but there are limitations to storage. But in general, we think it will be an important factor again in 2008. Whether or not it will be as much as '07 is yet to be seen.
Paul Sankey - Deutsche Bank: Just what are the storage issues, just out of interest?
Terry P. Delaney - Vice President, Investor Relations and Planning: Just in general we do not have a lot of excess storage to store gasoline distillate or alkylate. We will do what we can to store ahead of the season, but there is limitation to that. In general in the past before alkylate became as valuable as it's become, oftentimes you didn't run alkylate... alkylation units in the winter time because it just wasn't economical. But given how recent summers have been and how we would project this summer to be, we would like to keep them running and store ahead of it and you can make some money in the summer. But there are limitations to how many barrels you can store.
Paul Sankey - Deutsche Bank: So I guess on balance for you guys, being long, it's a marginal profit driver, but probably not that dramatic?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes.
Paul Sankey - Deutsche Bank: Great. Thanks.
Operator: Your next question comes from the line of Mark Gilman with Benchmark.
Mark Gilman - The Benchmark Company: I think Terry, I just wanted to confirm something that I recall. The refinery grade propylene price increases which pressured the chemicals margins; essentially you are capturing that in the refining and supply, are you not?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, we are.
Mark Gilman - The Benchmark Company: Are you self-sufficient or are you a net buyer of refinery grade propylene?
Terry P. Delaney - Vice President, Investor Relations and Planning: We are a net buyer of refinery grade propylene for the polypropylene plant that we have in the Gulf Coast and in the MidContinent. We are self-sufficient pretty much in the Northeast, but across our chemical business, no we are a net buyer.
Mark Gilman - The Benchmark Company: Can you put some numbers on that at all?
Terry P. Delaney - Vice President, Investor Relations and Planning: We probably buy --
Thomas W. Hofmann - Senior Vice President and Chief Financial Officer: In terms of the overall petrochemical feed stocks, we are probably about half of... half of the feed stocks for our chemicals business comes from our own refining system.
Mark Gilman - The Benchmark Company: Yes, okay. Thanks a lot.
Operator: We have a follow-up question from the line of Doug Leggate with Citi.
Doug Leggate - Citigroup: Hey, sorry guys to come back on. I just wanted to get some clarification on the issue brought up by Paul Sankey there. As we move forward to summer-grade gasoline, do you see a strong rebound in the margins as a consequence of the alkylate issue. Yes or no?
Terry P. Delaney - Vice President, Investor Relations and Planning: Yes, I do. I didn't mean to say that we... I was answering more specifically the fact that we are long, how impactful that is. That's on the margin quite helpful, but the mere fact of that alkylate as you've written about, Doug, we tend to agree. It was a big factor last year and is a big driver for our optimism for 2008.
Doug Leggate - Citigroup: Great. Thanks a lot for the clarification.
Operator: There are no further questions in the queue at this time.
Terry P. Delaney - Vice President, Investor Relations and Planning: Okay. If anyone has any further questions, please feel free to contact Tom Harr and myself, and I appreciate your interest. Thank you, Chris.
Operator: Thank you sir. And that concludes today's conference call. You may disconnect at this time.